Operator: Good morning and welcome to the Groupe ADP 2024 First Quarter Revenue Conference Call. Today's call will be recorded [Operator Instructions] I now hand the call to Cecile Combeau to begin today's call. Please go ahead. Thank you.
Cecile Combeau: Good morning. Thank you. Thank you for being with us this morning for our first quarter revenue publication. I am Cecile Combeau, Head of Investor Relations of Groupe ADP and I am here with Philippe Pascal, our CFO who will go through some prepared remarks before taking your questions. [Indiscernible] analyst, please, to allow for a greater number of you to dialogue with him. Before we start, I remind you that certain information to be discussed on today's call is forward-looking and is subject to risks and uncertainties that could cause actual results to differ materially. For these, I refer you to the disclaimer statement included in our press release and on Slide 26 of our presentation. And with that, let me hand it over to Philippe.
Philippe Pascal: Thank you, Cecile, and good morning, everyone. Let's jump directly to Slide 2 with highlights. Q1 shows solid start to year in line with expectation. Our total revenue is standing at €1.3 billion in this first quarter, up 10.9% compared to last year. Traffic and developing in line with our assumption with strong momentum in our international assets, except for Amman. In Paris, spend per pax was strong, up 7.8% to €32.7. Some headwinds are expected to kick in later in the year. Teams are fully mobilized and getting ready to welcome the Olympic Paris and Paralympics game in addition to the summer traffic. GMR, we continue to expect the merger between GMR Airport and GMR Infrastructure Limited, our listed partner. To be completed towards the end of second quarter. Moving on to Slide 3. The latest Skytrack ranking was issued last week. Paris and gold continue to be the best airport in Europe for the third year, and early is now ranked as best regional airports in Europe, but is a huge improvement for us. Five other airports of the group are also in the top 100, including Delhi and Goa, which had opened in January 2023. Every day, our teams try to deliver the best quality of service to passenger and we are delighted with this recognition of our work. This result has also encouraged us to continue to focus on hospitality in line with ADP's [Indiscernible]. Slide 4 show overall profit evolution, fully in line with our assumption, as I commented earlier. Let's focus on Paris on Slide 5. In Paris, we welcome 22 million passengers in the first quarter, up 4.4% against Q1. Last year, Q1 was been impacted by some strikes with an impact estimated to 470,000 passenger. 2024 being the leap year, the 29th of February brought an additional 250,000 passengers. And the opposite, air traffic control carried out trials with a new flight system, leading to some scheduled flight cancellation in January and February. Overall, impact traffic is estimated for this result to 1 million passengers. Traffic with mainline France show a decline of 4.8%, reflecting the impact of the four flight trial and the closure of several domestic routes compared to before COVID. For international traffic, this traffic is strong, up 6.5%. Traffic with North America is strong momentum, it is up 7% overall, driven by traffic with Canada, in particular, which is up €31.9 compared to last year. Traffic with Asia-Pacific is up 41.9%. This is notably driven by traffic with China, which was 6 times higher than Q1 2023. There are currently around 48 flights per week between Paris and China, which is around 60%, the frequency of the pre-COVID winter season 2019. We are not seeing this frequency to enroll in the coming months. The share of low-cost traffic is close to 6 points of percentage above pre-COVID level to 26.7% of Paris pax. Let's now move on to Slide 6 with a focus on Extime Paris spend per pax. Performance remains very strong to €32.7, up €2.4 or 7.8%. Bear in mind that Q1 2023 was the first quarter of the operation of Terminal 1, which was not yet at full speed, providing a favorable basis of comparison. We continue to see strong performance in [Indiscernible] luxury goods, which is the greatest contributor to sales in our airside shops. This growth is driven by international traffic in the flagship terminal, Terminal 1, of course, but also terminal 2E as well. Spend per pax in food and beverage continue to grow with additional selling coupons. Media and advertising is performing very well with a strong contribution to SPP in the first quarter, driven by advertising campaigns ahead of Olympics. In the coming quarters, we expect to see the effect of the reopening of Terminal 2 and 2C, material from the second quarter. I remind you that this terminal was close to upgrade the security system of luggage system, the retail offering in Terminal 2 and 2C being less powerful compared to Terminal 1 International. The reallocation of a portion of the international traffic to this terminal is expected to create a downward remaining of SPP starting in Q2. Effects of work in Terminal 2 in U.K. are now not material for the moment. Slide 7, moving to Slide 7, with a focus on our two main international assets. As a remember, TAV numbers are fully consolidated in our accounts and GMR Airports results are equity accounting. As you can see on the left part of the slide, traffic growth at TAV Airport was excellent, up 21.8%. In TAV's international network of airport traffic is up 26% with outstanding roles at Almaty. The new international terminal at Almaty is expected to open in June, and it can reach a capacity to 13 million passenger at the end of the day. TAV Airport in Turkey saw strong growth as well, up 18.2% with international traffic growing 30.6% compared to Q1. On the right side, general airport traffic was solid, up 10.7% compared to Q1 2023. Here as well international traffic is seeing the strongest growth. Overall, traffic growth in the international asset of Group ADP was up 14.3%. Moving on to Slide 8. Revenue reached €1.3 billion in Q1, up 10.9% versus last year. Aviation revenue is up €17 million. The segment is growing around 4%, in line with traffic growth in Paris. Keep in mind that the regulated tariff increase of plus 4.5% in average in apply from 1st of April 2024. So, no impact in our numbers for the moment. The retail and services revenue is going for €42 million, including the Scope impact of minus €13 million, corresponding to the change consolidation method of Extime food and beverage, which is now equity accounting. Paris -- segment is up plus 4% versus Q1 2023 due to new assets, but also in addition to rent indexation. Overall, TAV Airport has gone €71 million, bringing by far the biggest contribution to revenue growth this quarter. Amman airport is impacted by the geopolitical context. To conclude, let's move to Slide 10. Our traffic assumption and financial guidance for 2024 and 2025 are confirmed. We continue to expect traffic in Paris to grow this year between 3.5% to 5%, above 8% at group level. Our target to deliver at least 4% growth in EBITDA is also concerned, achieving this objective import a high degree of discipline when the OpEx increase expected this year again, have commented already in the past quarter. Investments are expected to ramp up this year in Paris. We are guiding for €900 million on average between 2023 and 2025. And you remember we were below that number in 2023. [Indiscernible] targets are confirmed. And with that, let's open the line for the Q&A. Thank you.
Operator: Sure, thank you. [Operator Instructions] We have a first question from the line of Cristian Nedelcu from UBS. The line is open now, please go ahead.
Cristian Nedelcu: Hi, thank you very much for taking my questions. Maybe the first one in terms of your M&A strategy. In terms of potential future acquisitions, how much would you be willing to increase your net debt EBITDA leverage in the context of M&A? Some investors there expecting you made some larger acquisitions. So, I was curious if you can give us some color there. Secondly, the retail spend per pax performance, apologies, it's a technical question, but when you compare Terminal 1 versus the Terminal 2A, 2C, could you comment a bit about the retail spend per pax in each of them and the differential? Could you remind us the passenger capacity in Terminal 2C and 2A, just to get a better picture of that dilution that you mentioned in spend per pax? And if you allow me the last one on traffic, modernization of air traffic control, can that potentially further negatively impact your traffic in Q4 or is that done? And equally so the entry-exit system starting later this year, can you comment anything on the preparations? And if you believe there is any risk of disruptions once the entry-exit system comes into force? Thank you.
Philippe Pascal: So, thank you for your question. So, about your first question about the M&A strategy. So, for the moment, we have some targets, but we work a lot about that, not substantial for the moment in terms of deal flow. In fact, we have some small targets, but also some huge potential acquisition. But it's not for the moment. So, we can confirm our guidance in term of debt net EBITDA. In fact, if we have a huge opportunity -- or a good opportunity with a strong volatile impact as the short-term, but also as the long-term, we can assume that impact in our net debt without a huge trouble in terms of sustainability -- financial sustainability in our account. So, all-in-all, for the moment, it's not a question obviously. But if we have a good opportunity, we can give more color directly to the market if we need. So, no issue. In terms of retail, so to be very clear, we expect some headwinds in Q2 with the reopening of Terminal 2E in May and Terminal -- 2C in May and 2E later in the year. As a portion of the highly contributive international traffic currently allocated to Terminal 1, this portion is expected to be redirected to Terminal 2E and 2C, which has less powerful commercial offering. So, we have mechanically a slight dilution. It's not a question in terms of capacity for the terminal, to be clear. So, with the question -- it's more the question of the relocation of airlines. So, we try to optimize our strategy, we need some additional capacity in the reason why we reopened the terminal for capacity for the summer. But the main question, it's not the number of passengers, it's the quality of the traffic and the mix traffic. So, for that, we try to manage this situation. Remember that Terminal 1 is our best performance in CDG with sales per pax around €75 per pax compared to the Terminal 2E with €65, €70 per pax. For the Terminal 2E and 2C, it's difficult to compare because we closed this terminal during the COVID crisis with not the same quality of the traffic, and it is not the same level for each airline. And probably not the same airlines in Terminal 2E and 2C compared to pre-COVID. So, it's not a good comparison. Terminal 2E and 2C, we have good brands -- good luxury brands, but the main impact is due to the fact that it's not a next time terminal for the moment. First of all, with the same quality in terms of atmosphere, the same quality in terms of retail area. And the second point, it's the main point, the fact that we have less synergy in the flow of passenger with a less number of square meter in terms of retailer. So, mechanically, we can expect a dilution, but we don't disclose the figures. For the ETCs [ph] and the question in terms of the -- for flight system. So, we have in our guidance and our assumption in terms of traffic, some buffer -- buffer for the trials and for flight system, but also buffer for strike. For the moment, it's not -- we can -- we confirm and we fully confirm our assumption in terms of traffic in Paris. We don't expect a huge impact in the next year about the system without -- and we don't expect a huge trouble with the implementation of the system. With this system, we expect more robustness and more capacity to manage a huge number of movement. So, thank you for your question.
Cristian Nedelcu: Thank you very much.
Operator: Thank you. We will take the next question from line Andrew Lobbenberg from Barclays. The line is open now. Please go ahead.
Andrew Lobbenberg: Hi, Philippe. On your remarks about guidance and the EBITDA goal, you highlighted the pressure you're going to have from rising costs. So I wondered if you could just give us a reminder of the scale of those pressures. And when we look at the results today and you've beaten the consensus on international and retail, how easily should we think those revenue beats drop through to EBITDA? And then can I just ask on the transaction in India, you previously guided to a €100 million non-cash impact, but you flagged that it will be higher. Clearly, the scale of the share price rise for GMR is quite dramatic. So whilst the details are not there, can you help us understand the scale of that outperformance, the scale of the increase in that cost? Is it going up 10% or is it going up five times? How large a non-cash expense should we expect to come in that second quarter? Thank you.
Philippe Pascal: So, thank you for your question. So clearly we can see a very strong first quarter in terms of revenue, but at the same time we confirm our guidance in terms of EBITDA. Our guidance in terms of EBITDA is quite realistic because we continue to expect a challenging OpEx increase in 2024, in line with what we can commence during our annual results in February. We know that we have some impact in terms of inflation. When you see our figures in 2022-2023, we can see that we don't have a huge impact in terms of inflation, but inflation, but we are very clear now we have an impact in terms of inflation due to the renegotiation of a huge part of purchase agreement, due to also the fact that we don't have the same impact in terms of energy cost before in 2022, 2023 we have some edging that we don't have fully this year. We worked to cover our energy cost for 2025, 2026, 2027, but now in 2024 we manage the situation with a mechanic increase in terms of energy costs. At the end of the day, we have also the main driver of our OpEx, that is the number of square meters in our terminal, and as we reopened the terminal 2E and 2C, and we have a mechanic increase in terms of OpEx operational costs due to cleaning, due to all the operation in the terminal. And finally, we have part of cost linked by the Olympics and Paralympics game, but it's not so huge. And we have an impact in 2023, as you know, but also 2024. But not so huge, but it's also manageable. We expect for 2024 an impact in terms of Olympics, in terms of OpEx, between €10 million or €20 million. So it's not so much. But at the end of the day, we have an impact in terms of OpEx. So all-in-all, we confirm our EBITDA guidance, plus 4% compared to 23%, and we assume this guidance, but it's clearly not in line with a strong growth in terms of revenue. In terms of your second question about GMR, so in fact, when we disclosed this operation, we have clearly disclosed the fact that we have a one-off effect with a strong impact and with two main explanations in terms of financing impact of this operation. The first effect is an effect in terms of ratchet earn-out and also dilution in our economic interest. And for this first issue, we expect a first negative impact. We have also a second impact that is the integration of the asset of NewsGuild whose net value is expected to be negative at the date of merger. So all-in-all, we know that we have a strong impact, higher than €100 million. It's difficult to know and to give you figures now due to the fact that we have to know the level of stock market valuation at the moment of the operation, but it is likely to increase significantly due to the valuation of the stock of GMA Infrastructure Limited. This one-off will impact the net result, which the basis of calculation of dividend, 60% payout policy, I remember. Nevertheless, our dividend policy also include a floor at €3 per share to protect our shareholders. So no issue. It's a pure accounting impact. It's a one-off, and we don't expect a huge bad news in terms of dividends due to the floor. Thank you.
Andrew Lobbenberg: Thank you.
Operator: Thank you. We will take the next question from Luis Prieto from Kepler Cheuvreux. The line is open now. Please go ahead.
Luis Prieto: Good morning. Thanks a lot for taking my question. I have two. The first one is focusing for a moment on next year's aeronautical tariffs in Paris. Should we continue to assume that there should be a pass-through of the remaining impact of the environmental tax? Do you expect any area of meaningful disagreement with the regulator in the situation? The second one is, in the past, you have talked about the need to stabilize the rules of the game before the reinstatement of an ERA regulatory framework. Could you provide us with an idea of when this could be as well as the amount of time that the preparation for the switch to take? Thank you.
Philippe Pascal: So, thank you for your question about regulation. So, about regulation on the tariff. Clearly, the tariff proposal, it's the consequence of a business plan for the next year. So we, when you propose the tariff, we have to give some color about the business plan, the regulatory business plan for 2025 and 2026. Why we have to give two years? It's the reason why we have aviation roles and the time is between April, April 25 and March 26. So when we did this business plan, the French regulator check the level of traffic and the assumption in terms of traffic, check the level of OpEx, take the level of CapEx with the regulated asset base as a consequence in terms of community asset base. And at the end of the day, French regulated ROCE. If this regulated ROCE, the estimation of this regulated ROCE is higher, the assumption also regulated WACC. We don't have a formal approval in terms of tariff. So, your question about the tax and the capacity to offset this tax through the tariff. It's a question of the ROCE balance. In fact, mechanically with this new tax, we have a mechanic decrease in terms of regulated ROCE. So this decrease creates a home of manor to increase our tariff, it's mechanic. It's a low. It's a -- so no issue. All-in-all, it's not an issue. But so question, it's more the question of the dynamics in terms of traffic. Traffic, the question of the real level of WACC for the French regulator and the capacity for us to deliver our CapEx plan. So, mechanically, for the month, it's a little bit hard to provide an outlook on 2025 tariff and to anticipate the nature of the discussion with Regulator. But globally, we tie obviously, to find the good economic balance to offset the other part of the tax. So, the second question about the economic region agreement. So in fact, we have more visibility in terms of traffic. We have also more visibility in terms of industrial strategy. With the de-carbonation in Paris with all our needs in terms of maintenance and with all our capacity to increase our square meter, will come more passenger in time. So clearly, we have more visibility. We have also more visibility in terms of regulation with a new law that we can confirm and the French government have just published. That is a new way to appreciate one of the tariff of regulation, that is the moderation of tariff increase. This moderation of tariff increase now should be appreciated on average went up an economic regulation agreement, that is good news for us and probably a good opportunity and a good incentive to try to have an economic regulation. As you know, now -- we are not so incentivized before this call to conclude an economic regulation agreement with an annual basis. We can have more capacity to manage our situation to create the room of maneuver to increase our time. If we had a global action in a five-year basis, it's probably more -- it's probably better for us for that. And we are -- it's a good incentive to try to have an economic regulation again. So we have to work about that. And if we start the work now, we need two years to manage the negotiation, the signatures and after the implementation of economic regulation agreement. So if we start now, we can have an economic regulation agreement in 2026, perhaps more in 2027, but we have to decide, and it's not the case for the moment. But will give you some color in the next few months. Thank you.
Luis Prieto: Thank you very much.
Operator: We will take the next question from the line Ruxandra Haradau-Doser from HSBC. The line is open now. Please go ahead.
Ruxandra Haradau-Doser: Yes. Good morning. Thank you very much for taking my questions. Congratulations on the Skytrack's ranking. Impressive performance of Airport Paris and Airport France. Two questions, please. Could you please give us an update on the CapEx in Antalya? And could you please remind us about the bridge loan at Antalya Airport. Have you concluded discussions with banks to replace this loan? And second, could you please talk about the current shopping behavior of Chinese passengers relative to pre-COVID level? And what is the feedback you received from airlines and capacities to China? I understand that some European airlines continue to cut again capacities to China due to weak yields. Do you expect this also in Paris over the next month? Thank you very much.
Philippe Pascal: So thank you, Ruxandra. So, about your first question, Antalya. So as you -- we finalized the -- all the financial issues and additional all the financial issues. So for the moment, we -- in terms of green zone and we secure a huge part of the refinance approach. So no issue for us at the day. So, I don't have more color about that. About your second question about Chinese traffic. So as you know, traffic with China is contained by low frequencies by the two countries, France but also China and the airlines capacity today. For the moment, we have currently around eight weekly flight scheduled that is globally 60% of the recorded capacity, and we don't expect a huge recovery in 2024. Clearly, we don't expect a huge recovery, there's more in 2025. So thank you. Thank you.
Operator: Thank you. We will take the next question from Graham Hunt from Jefferies. The line is now open. Please go ahead.
Graham Hunt: Yeah. Thanks very much. Maybe just a couple of short questions. On the -- just coming back to the China capacity, maybe just get your longer-term thoughts in terms of how you're performing relative to some of your peers who are seeing for other reasons, Chinese capacity back pre-COVID or above. Does that worry you from a long-term competitive standpoint? And is there anything that you're doing maybe on the digital front to remain engaged with the Chinese consumer? That's question one. And then second question, just on the GIL GAL merger, do you expect that to sort of coming back to this point about transactions and potential M&A. Do you expect the GIL GAL merger to create new opportunities for you in the Indian market once that completes? Thank you.
Philippe Pascal: So thank you for your two questions. So about China, we are confident to have a full recovery at the end of the day in terms of traffic compared to pre-COVID situation, but not in 2024 and probably not more in 2025, even 2026. We have a good dynamic in terms of decision. We know that for the moment, it's linked by the fact that we have expensive price in Paris for hotels, but we have also the question of the capacity to reopen some routes with the frequencies, the order of frequency by the two countries. For your second question, the merger between GIL and GAL, the main target is to have liquidity and to reveal the value. It's not to create new capacity to develop the group, perhaps at the end of the day. It's -- we can create some capacity. But now our target, it's more to de-leverage the company than to develop as a group. If we have a good opportunity, obviously, we work about that. And -- but the reverse merger, it's not a question to create the capacity to develop the group at the end of the day. It's more a question of robustness. It's more of the question to reveal the value. It's more a question liquidity -- liquid shareholder structure for us. Thank you.
Graham Hunt: Thanks very much.
Operator: We will take the next question from Dario Maglione from BNP Paribas. The line is open now. Please go ahead.
Dario Maglione: Good morning, everyone. Three questions, if I may, a quick one. On spend per pax was very strong in Q1, more than 40% above 2019 levels. So my numbers and this an acceleration compared to Q3 and Q4. So I'm just wondering, is there like any one-off or anything that is playing such a big jump in Q1. Second question on GMR infrastructure. So the leased entity, I mean the share price, has almost doubled over the past 12 months. Some people may say it's a bubble. What do you make of the current valuation? And last question, maybe a bit technical on the OpEx allocation in Paris between regulated and not regulated till. I understand that you make a proposal to the regulator for the tariff in 2024, I believe €10 million to €15 million. Is this enough in your view or shall we expect more OpEx to be shifted? Thanks.
Philippe Pascal : So thank you for your question. So about the self-perfects, clearly we don't have one of one effect in this first quarter. It's an organic growth, but we have one effect that is very important to have in mind, the fact that last year, we don't have the full impact of the Terminal 1 for the first quarter. So we have mechanically a base effect in our figures. So that is the first main point. The second point is fact that it's an organic and structural growth, but we expect for the next months, in 2024, two main headwinds. So first is the reopening of Terminal 2E and 2C, and the second is the works in Terminal 2E Hall K. So globally, it's a structural performance. It's not one off performance. About your second question about share price for Gil. So, Indian market rose significantly in 2023, mechanically. It's mainly due to the good performance of the Indian industry and also the question of the balance between India and China. Regarding the aviation sector in India, the Indian government and the industry stakeholders are all aligned to build India as a regional hub. So mechanically, the Gal expansion works are fully consistent with this plan and we try to have all and to take a great position to catch this profitable growth. So all-in-all, we have the explanation of the level of share price. And we have also good news. That is good news for Gal. That is good to support the value, the Goa and Delhi tariff, and with the favorable arbitrage and Delhi minimum annual fees, and a good quality in terms of asset with a high demand. So all-in-all, we are comfortable for the moment with this valuation. About your question about the cost allocation system in Paris, so we continue to work about this cost allocation. We are in the transitory period, which is until the end of 2025. We have a lot of workshops with airlines. We challenge all our allocation key. We have to continue this work, but we don't expect a huge impact in terms of cost allocation due to the fact that for EDP, the cost allocation system is a system based on an operational key or a physical key when you check with the infrastructure, it's not a cost allocation based off economic figures or financial figures. So mechanically, when we have checked all the square meters in the terminal, we have the result of the cost allocation system. That is the policy of EDP. So, no huge and substantial impact for the next months for us.
Dario Maglione: Okay. Thank you.
Operator: We will take the next question from line Elodie Rall from JPMorgan. The line is open now. Please go ahead.
Elodie Rall: Hi, good morning. Sorry, I joined a bit less late, so I don't know these questions were asked, but the first question would be on the retail margin. How you think about it for the rest of the year given the context of a slowdown for luxury brands generally in Paris? And my second question is on the drop through into EBITDA for the revenue in retail and international that was slightly above consensus, if you could give us some color? Thank you.
Philippe Pascal : So about your first question, we don't expect a bad impact on for the next month except the two main explanation that I give. So -- but not over dilutive impact for us. About your second question what is exactly your second question about revenue?
Elodie Rall: Sorry, did you ask me about my question? Because I just had a big plane going on.
Philippe Pascal : Yes. Excuse me.
Elodie Rall: I don't know if you had the big plane as well. No, my other question was the drop through in EBITDA or the retail and international beat from this morning.
Philippe Pascal : No, it's a global, we don't have this kind of effective for us. Clearly, we can check and we can come back if you want. But globally, when you check the question of EBITDA, we have some challenging OpEx increase in 2024. That is the main explanation of the difference between revenue and EBITDA. So be careful, but all-in-all, no specific impact in terms of retail and international revenue.
Elodie Rall: Thank you.
Operator: Thank you. We will take the next question from line [indiscernible] from Bank of America. The line is open now. Please go ahead.
Unidentified Analyst: Yes. Thank you so much. Two short questions. The first one is on M&A, which was mentioned a couple of times on this call. I'm just wondering, when you think about international acquisitions. Can you confirm that these will be done essentially via TAV and via GMR? Or would you also consider some transactions from your French entity. Secondly on GMR, do you believe this company will require any capital increases over the next, let's say, three, four years? And would you be willing to participate in those? Thank you.
Philippe Pascal : So thank you for your two questions. So about the second question, we don't expect any injection in GMR. Our purpose is to deliver at the company, to have robust financial figures in this company, and not to reject a new capital. About your first question, so for the international development, obviously, if we have opportunity in Middle East and Central Asia, we take this opportunity through TAV. If we have opportunity in the rest of Asia, India, South of Asia, it's for GMR. So it's not opportunity for the EDP mother company. But if we have an opportunity in America, for example, and in other countries, and if we want to finalize the capacity for EDP to develop the group through a specific holding structure, we have to implement that. We have to take the opportunity in America. And mechanically, in this part of the world, it's for EDP mother company. So, for the moment, we have a lot of opportunities all over the world, but we are very selective and very opportunistic. Thank you.
Unidentified Analyst: Thank you.
Operator: Thank you. It appears no further questions at this time. [Operator Instructions] It appears no further questions at this time. I'll hand it back over to your host for closing remarks.
Cecile Combeau : All right. Thank you very much, everyone, for having logged on to our conference. Our next financial communication will be on the 23rd of July. We will release our H1 results just a few days before the opening ceremony of the Paris Olympic and Paralympic Games. And in the meantime, we will attend some conferences and we'll seek to meet you in roadshows. We will also have our AGM on the 21st of May. And we are looking forward to seeing you all in the coming days and weeks. Feel free, obviously, to get in touch with Elliot and I at the IR team for any further questions. And with that, good day, everyone. Bye-bye.
Operator: Thank you for joining today's call. You may now disconnect.